Operator: Good day, and welcome to the Big 5 Sporting Goods Third Quarter 2012 Earnings Results Conference Call. Today's conference is being recorded. On today's call representing Big 5 Sporting Goods is Mr. Steve Miller, President and Chief Executive Officer; and Barry Emerson, Chief Financial Officer. And now, I'd like to turn the call over to Mr. Steve Miller. Please go ahead, sir. 
Steven Miller: Thank you. Good afternoon, everyone. Welcome to our 2012 third quarter conference call. Before we get started, we want to extend our thoughts to those on the call who have been impacted by the devastation of Hurricane Sandy over the past several days. We hope things are beginning to return to normal.
 Today, we will review our financial results for the third quarter of fiscal 2012 and provide general updates on our business, as well as provide guidance for the fourth quarter. At the end of our remarks, we will open the call for questions.
 I will now turn the call over to Barry to read our Safe Harbor statement. 
Barry Emerson: Thanks, Steve. Except for statements of historical fact, any remarks that we may make about our future expectations, plans and prospects constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in current and future periods to differ materially from forecasted results. These risks and uncertainties include those more fully described in our annual report on Form 10-K for fiscal 2011, our quarterly report on Form 10-Q for the second quarter of fiscal 2012 and other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that may be made from time to time by us or on our behalf. 
Steven Miller: Thank you, Barry. We are extremely pleased to have delivered a 41% increase on our third quarter earnings per share, exceeding our guidance and achieving the strongest third quarter earnings per share in our history as a public company. We believe that our strong results reflect the growing benefits of the merchandise and marketing initiatives that we have implemented over the last year and our ability to leverage expenses and drive earnings growth as our sales gain momentum.
 We experienced improvements across each of the major retail metrics: higher same-store sales, stronger product margins, and lower inventory levels. We saw growth both in customer traffic and average ticket, and our sales performance was strong across all geographic regions and all major product categories.
 Additionally, our year-to-date operating cash flow at the end of the third quarter improved by over $40 million compared to the prior year, and our debt levels at quarter end declined 24% from the prior year.
 Now, commenting on sales. In the third quarter, we rang the register to the tune of $251.8 million, up 7.3% from $234.7 million for the third quarter of fiscal 2011. Same-store sales increased 5.2% during the third quarter of 2012, representing our best quarterly same-store sales improvement in over 6 years. As expected, sales benefited from the calendar shift of the 4th of July holiday further into the third quarter this year, which resulted in certain holiday-related sales moving from the second quarter to the third quarter. We would estimate this shift benefited third quarter same-store sales by approximately 80 basis points.
 Our sales were generally consistent throughout the quarter as we comped up in the mid single-digit range in each of the months of July, August and September. Our positive comps were generated by a small increase in traffic and a mid single-digit increase in average ticket versus the prior year. All of our geographic regions and major product categories turned in very healthy performances in the third quarter as our merchandise and marketing initiatives continued to gain momentum.
 From a product standpoint, our apparel category was the strongest performer for the quarter, up in the high single-digits, benefiting from an expanded assortment of branded products at stepped up price points. Our footwear category comped up low single-digits for the quarter, and sales of hard goods were up mid single-digits. Following an unseasonably cool summer last year, our third quarter benefited from relatively favorable weather comparisons in many of our markets in support of the sale of summer-related products.
 We are pleased to report that along with our improved sales, we were able to again improve merchandise margins, which increased by 25 basis points during the quarter over the prior-year period due to a combination of shifts in our product sales mix and favorable adjustments to pricing.
 On the expense side, we continue to control costs and we're able to leverage our SG&A expense by 80 basis points as sales improved. Our team also continues to do a terrific job of optimizing inventory levels. At the end of the quarter, our inventories on a per-store basis were down 3.7% versus the prior year.
 Now, commenting on store openings. During the third quarter, we opened 2 stores and closed 2 stores, 1 of which relates to a relocation that began in the second quarter. We opened new stores in Bellingham, Washington and Plainview, Texas. We ended the quarter with 407 stores in operation.
 During the fourth quarter, we plan to open 8 stores, including 1 relocation, and close 1 store. For the 2012 full year, we currently expect to open 14 new stores, including 3 relocations, and close 6 stores, including 2 relocations. This will lead to a year-end store count of 414 stores.
 Now, turning to current trends. We are encouraged that the positive sales and margin trends experienced in the third quarter have continued into the fourth quarter. While October represents the lowest volume sales month of the quarter and holiday spending is always somewhat unpredictable, we are excited about our product assortment and marketing plans and believe that we are well-positioned for success this holiday season.
 We continue to fine tune our merchandise offering to appeal to consumers with more discretionary income, while maintaining our strong value proposition. We are very happy with the quality and quantity of our inventory for the holiday shopping season and believe that our product assortment continues to improve. As expected, we have bought around the winter inventory carryover from the 2011-2012 winter season. In doing so, we have made assortment adjustments that we believe should make us somewhat less dependent on favorable winter weather, snow in particular. Additionally, we believe that our business over the holiday season should benefit as our sales have all year from the improved product customization and regionalization enabled by the business analytics tools that we put in place roughly a year ago.
 We also feel that we have a strong marketing program planned for the fourth quarter, including more digital marketing efforts and the launch of our online product catalog. Prior to the kickoff of the holiday season, we plan to introduce a robust product catalog on our website that will give customers a more comprehensive picture of our product offerings and enable them to create gift and shopping lists. We believe that this enhanced website will make Big 5 more visible with search optimization and help drive traffic into our stores, and ultimately provide us with the capability to move to an e-commerce platform in the back half of fiscal 2013.
 With that said, now I will turn the call over to Barry, who will provide more information about the quarter, as well as speak to our balance sheet, cash flows and provide fourth quarter guidance. 
Barry Emerson: Thanks, Steve. Our gross profit margin for the third quarter was 33.3% of sales compared to 32.8% of sales for the third quarter of fiscal 2011. The increase was mainly due to the 25 basis point increase in merchandise margins that Steve mentioned, as well as our ability to leverage store occupancy costs and distribution costs.
 Our selling and administrative expense as a percentage of sales improved to 27.9% in the fiscal 2012 third quarter from 28.8% in the third quarter of the prior year. On an absolute basis, SG&A increased $2.9 million due primarily to added expense for new stores and higher employee benefit-related costs, as well as a pre-tax charge of $0.4 million related to the closing of 1 store.
 Our effective tax rate for the third quarter was 37.3% compared with 34.4% for the third quarter of fiscal 2011, primarily reflecting lower income tax credits in the current year.
 Now looking at our bottom line. Net income for the third quarter was $8.2 million or $0.38 per diluted share, including a store closing charge of $0.01 per diluted share. This compares to net income for the third quarter of fiscal 2011 of $5.8 million or $0.27 per diluted share.
 Briefly reviewing our 2012 first 9 months results. Net sales increased to $696.9 million from $675.4 million during the first 9 months of fiscal 2011. Same-store sales increased 1.2% versus the comparable period last year. Net income was $10.9 million or $0.50 per diluted share, including noncash impairment and store closing charges of $0.04. This compares to net income of $11.7 million or $0.53 per diluted share, including a $0.02 noncash impairment charge for the comparable period last year.
 Turning to our balance sheet. Total chain inventory was $275.8 million at the end of the third quarter, down 1.5% from the prior year. This reduction reflects our continued efforts to manage inventory levels, while adding new merchandise to our mix and  despite a higher than normal winter product carryover from last year. We feel good about our current inventory position for the holiday shopping season.
 Looking at our capital spending. CapEx excluding noncash acquisitions totaled $7.3 million for the first 9 months of 2012, primarily reflecting expenditures for new stores and relocations, existing store maintenance, distribution center equipment, MIS systems and corporate office leasehold improvements. We expect total capital expenditures for 2012, excluding noncash acquisitions, of approximately $12 million, reflecting the opening of approximately 14 new stores.
 We generated healthy cash flow from operations of a positive $28.5 million for the first 9 months of 2012 compared to a negative $11.6 million in the same period last year. The increase in cash flow from operations primarily reflects an increase in accounts payable and lower inventory year-over-year.
 In the third quarter, we used cash to pay our quarterly dividend of $0.075, pay down borrowings and repurchased our shares. Our long-term debt at the end of the third quarter was $52.6 million, down from $69.1 million at the end of the third quarter last year and $63.5 million at the end of fiscal 2011.
 During the third quarter, we repurchased 105,100 shares of our common stock for a total of $0.9 million. In the first 9 months of fiscal 2012, we have repurchased 408,991 shares for $3.2 million. As of the end of the third quarter, we had approximately $10 million available for future stock repurchases under our authorized $20 million share repurchase program.
 Now, let's spend a minute on our guidance. As Steve mentioned, we are encouraged by our positive sales trends for October, but it's still early in the quarter and the holiday season is always somewhat unpredictable. For the fourth quarter, we are projecting same-store sales in the positive mid single-digit range and earnings per diluted share in the range of $0.13 to $0.21. For comparative purposes, we reported a net loss for the fourth quarter of fiscal 2011 of $9,000 or $0.00 per diluted share, including a noncash impairment charge of $0.05 per diluted share.
 Operator, we are now ready to turn the call back to you for questions-and-answers. 
Operator: [Operator Instructions] And we'll take our first question from David Schick with Stifel, Nicolaus. 
David Schick: It's just, I think, 1 sort of simple question, which is as you look at this improvement in your business, forgetting the holiday effect which you laid out, and thank you for that. You really talked about the product being right, and it sounds like part of it is the cycle coming to your customers, and part of it is the actively sort of managed initiatives there to bring this more discretionary product. I was wondering if you could break down your view if that's correct. If it's those 2 pieces, that the cycles coming to your customers and then you kind of managing into it, and then what that would lead you to believe about the longevity of this better sales trends as a result of your management thereof? 
Steven Miller: I mean, I think what you're saying, the cycle coming -- you're talking about the economic cycle, is that? 
David Schick: Well, also the product cycle. I mean, the economic cycle to your region and the product cycle. So how much of it is -- what's going on, where you go to market, and how much of it is the stuff you guys are working on? 
Steven Miller: Sure. Look, I think there may be some indicators that portions of the economy are improving. I don't think the evidence suggests that the economic factors have changed in such a positive manner that could have driven the type of strong results that we produced in the quarter. Some of our markets remain reasonably challenged, unemployment in California is still over 10% and fuel is up significantly from a year ago and higher than the national average and so forth. We think in whole, the whole, that the improved results are really being driven by the merchandise and marketing initiatives. And ongoing evolution of the product mix are better aligned with today's consumer. Now these are things we've been working on for several quarters now, and I think they're really a bearing fruit as we proceed forward. 
David Schick: And so you talked about holiday. Would you expect this work that's paying off on the top line and gross margin to continue to play out over more than just a 6-month period? 
Steven Miller: Absolutely. I mean, we think the -- promotional initiatives should benefit our sales over the holiday season and, hopefully, should really shine in the holiday season. And it's really our efforts to create a broader appeal to include consumers with more discretionary income. We're not abandoning our value proposition. I think we're creating a product assortment that has a wider appeal. And we see no reason that, that shouldn't play well for us in the holiday season and beyond. 
Operator: And we'll take our next question from David Magee with SunTrust. 
David Magee: Just a couple of questions. One is on the analytics part of the equation in terms of driving better results up, what further benefits would you expect from that, in say, 2013? And maybe to use a baseball analogy, what inning would you say we're in there in terms of improvement? 
Steven Miller: I still think we're in the early innings. Third inning, I don't know, it's hard to be precise. But I think we're -- we've got lots of compounding on the positiveness of the analytics tools. I mean, we're adding more function to it as we go along, we're getting a greater history, our team is getting better and better in utilizing the information to make better purchasing decisions. I think we've got lots of opportunity to do a better job of customizing our product to individual regions, a lot of what I think is driving our business and drove our business very positively in the third quarter is really fine-tuning assortments to individual stores, stepping up the product. Some of our stepped-up product may not be right for all stores, but this analytics tool gives us a great capability to drill down, analyze the effectiveness of the steps that were taken and proceed forward. 
David Magee: And secondly with regard to the fourth quarter, and I appreciate you trying to be conservative. It seems like you are being conservative. What has been the challenges in the past in the fourth quarter or the holiday season that might make it different from other times of the year? 
Steven Miller: Well, I think the holiday -- I've been in this for a long time, and then there's a uniqueness to each and every holiday season. Unlike the rest of the year, in a holiday season, it's not just trying to bring customers in to buy the products that we offer for sale. You're truly fighting the whole world in terms of, one, how deep the consumer's going to dig into their wallet for holiday shopping and for gift-giving, and how your gifts align not just with the sporting goods and the products that we offer but whether they're going to be buying electronics or ties for dad. So it's a very much different competitive environment. And that said, we think the assortment that we have in our stores today is meaningfully improved from what it was a year ago. And we believe that, that will sort of serve us well for the holiday season, not to mention the certain hope that weather can only be an improvement as we get in the back half of the fourth quarter. 
David Magee: And I guess finally, any thoughts on next year in terms of how fast you might grow the square footage in light of -- the good numbers you've been showing in the last couple of quarters? 
Steven Miller: Yes. When we open approximately 4 and 10 [ph] assuming everything goes the way it looks like it's going over the next couple of weeks, we'll wind up this year opening 14 stores, which includes 3 relocations and some store closures. Some of which will related to the relocations. So we're going to end this year with 414 stores. We're not prepared to make a definitive comment on our store growth plan at this time, but we believe that it will be somewhat accelerated over 2012. 
Operator: And we'll take our next question from Mark Smith with Feltl and Company. 
Mark Smith: First off, can you talk about any impact on gas prices -- from gas prices? It sounds like you guys had a really great quarter here on comps, it sounds like October's going well. Did you not see consumers pull back at all with the high gas prices you saw? 
Steven Miller: Well, yes. I mean, I do believe we had to feel an  impact in terms of gas prices, particularly if you're familiar with what occurred in California. California gas prices are generally much higher than the national average. But over the course of most of October, the gas prices spiked to really record-high levels as a result of some refinery issues in the state. It's hard to quantify, but there's no question that it had to have an impact on our business. That said, we're very pleased that we were able to comp up in the low, mid single-digit period for October. I think what's noteworthy is that, that October period comped against our strongest monthly comp of 2011, we comped up in the low, mid-single digits last October, although we had a challenge fourth quarter last year, the fact is the first half of the fourth quarter including October was very healthy for us. So unquestionably, the gas prices, I mean, they were so astonishing that they had to impact on our business, but I think we managed through it quite positively. 
Mark Smith: Second question. I know you just said you can't really comment much on 2013 unit growth, but is there a chance we can start to see more geographic expansion outside of the states where you're currently operating? 
Steven Miller: We're not going to again comment specifically about our growth plans. I mean, we intend in 2013 to continue with our long planned -- our long philosophy of positive growth, growth under control, looking at the footprint in which we currently do business in and looking to fill in there and look for opportune times to gently expand our geographic footprint as well. 
Mark Smith: Last one for me. How much of the new merchandise, as you talk about new initiatives maybe pushing for a little higher end customer, if you will, how much of the merchandise is skewing towards apparel? And did that help drive the high single-digit comps in apparel up this quarter? 
Steven Miller: Well, we're -- I think our new merchandise initiatives are really enhancing the offering across all product categories: footwear, apparel and hardgoods. I think apparel has arguably benefited most significantly from the changes. But we're seeing very positives across a broad array of categories. 
Operator: And we'll take our next question from Sean Naughton with Piper Jaffray. 
Sean Naughton: I guess when I look at your kind of business from a P&L standpoint, looking back over 5 or 6 years and seeing the gross margins there, is there any structural reason that you see that you can't drive gross margins back up over time if the merchandise margins continue to improve back towards that mid 30s range? And then maybe can you just remind us what type of comp you need to in order to leverage that occupancy and general, administrative expense? 
Barry Emerson: Sure, Sean. This is Barry. Prior to the downturn in 2007, we historically have achieved operating margins in the 6% to 8% range. For the third quarter of 2012, our operating margin was 5.4% and an improvement of -- from 4.1% in last year, and frankly, 2% in the second quarter. We have -- and as we have historically, we believe we can leverage our expenses in a meaningful way when our revenue growth improves, which our Q3 results have demonstrated. In terms of a leverage point, the -- again, whether we leverage expenses or not is of course dependent on various factors, including our store growth and expense fluctuations and other factors. Historically again, if you look backwards, we have been able to leverage our expenses at a same-store sales growth rate of about 3.5%. But given our cost saving efforts over the past few years partially offset by today's expense pressures, we can leverage our expenses at a same-store sales growth rate of approximately 1% to 2% today and leverage our store occupancy and distribution cost at the same store sales growth rate of about 2% to 3%. And of course, our guidance for Q4 assumes that we will leverage expenses for the quarter. 
Sean Naughton: Okay, great. And then, just given where your inventory position is, how do you feel like your positioned in order to capitalize on that kind of mid single-digit projection? Do you feel like you'll be able to if there is, potentially even the sales immaterialize faster than you believe, is there -- do you feel like you've got opportunity there to potentially chase that business if you're customer does come in to the store? 
Steven Miller: Absolutely. We're very pleased with the quality of our inventory, we're pleased with the quantity of our inventory. We feel that -- actually, some of our merchandising initiatives are geared to be able to be more responsive to certain in-line branded offerings that we can buy in to as demand indicates. So we feel quite positive that we're in a position to -- from an inventory standpoint, to drive strong performance. 
Sean Naughton: Okay. And just lastly, and I apologize if I missed this, I jumped on a little bit late, but do you have the -- did you provide the kind of the traffic and ticket combination? And then any regional differences that you are noticing throughout the quarter would be helpful. 
Steven Miller: Yes. Well, I did comment. I said that our traffic was up slightly and that our ticket was up in the mid single-digit range. So most of the gains certainly did come from the ticket. I said that our  business was very strong across all geographic regions. In fact, we operate with -- currently, with 39 districts, and each and every one of our 39 districts comped positively in the third quarter. So we were quite pleased that our strength was broad-based geographically. 
Operator: [Operator Instructions] We'll take our next question from Steven Martin with Slater Capital Management. 
Steven Martin: To follow-up on a previous question, with your new systems and the high single-digit apparel comp, footwear over the last couple of quarters has had some pretty significant ASP increases, and you're running -- I guess, you said you're up low single-digit comp there. Is there something you're doing to your footwear business, not doing to your footwear business, or is it an area that isn't getting as much price focus? 
Steven Miller: No, we're certainly focused on our footwear business, and generally pleased. And I think our core footwear business performed quite positively in the third quarter. The category was somewhat negative impacted by some softness in cleated footwear product, primarily associated with football cleats that we believe was a function of participation levels that were impacted to some degree by funding issues within school and other programs, but to --  perhaps a larger degree with safety concerns that have been reasonably chronicle of the news related to head injury, concussions, et cetera. But -- so take absent of that, the footwear category would've comped up in the mid single digits. And I might add, it's comped up positively and with accelerating trends in the -- over the course of October. 
Steven Martin: Any new brands or product strengths you'd care to point out for us? 
Steven Miller: We're not going to speak specifically to the brands, specific brands or products just for competitive reasons. I mean, as mentioned, our strength was quite, from a product standpoint, broad-based, and really, in all categories. Our apparel category is clearly benefiting from increased focus on branded apparel and bringing up higher average unit retails. Our apparel, the comp, we had a high single-digits in the third quarter, was our best quarterly comp since 2006. Our hardgoods, a number of categories are driving that area. And that category probably more than any other got a little benefit from the shift of the 4th of July holiday that did move certain outdoor and game-related sales into the fourth quarter. But our performance in the hardgoods area was our strongest quarterly comp since 2004. So a number of categories are clearly comping positively. Footwear, I don't think it's any secret that lightweight running product is driving that product for most anyone in the business. 
Steven Martin: Got you. The range of guidance is pretty broad. Can you give us some commentary on what combination of factors would get you to the low end or high end of that range? Is it a comp function? Is it a margin function? Is it a seasonality function? 
Barry Emerson: Well, first, let me -- Steve, let me just put a little bit of context here. The period from -- again, if you're just talking about the range, certainly the high end of the range, we're looking at a high positive mid-single comp. If you're looking at the low end of the range, it's a low positive mid-single comp. So it's clearly, comps are critical obviously, and merchandise and the POS margins are also -- can be variable as well. The range we have is $0.08, which we actually had a $0.12 range last year in the fourth quarter. I mean, the holiday spending and the weather variances can be quite unpredictable, and we just want to make sure that we put a range out there that we feel comfortable with, that incorporates those variables. 
Steven Martin: All right. One last one, tax rate for the fourth quarter? 
Barry Emerson: For the fourth quarter, I would use a tax rate of 38% for the fourth quarter. Our full-year tax rate is likely to be 37%. 
Operator: And we'll take our next question from Bill Dezellem with Tieton Capital Management. 
William Dezellem: Curious, do you have additional systems that you will be implementing that you have not yet rolled out? And if so, what's the timeframe that you would anticipate to do that rollout? 
Steven Miller: Bill, I think we missed the start of your question. 
William Dezellem: The -- you have had  historic -- well, not historic, current success with new systems that you have rolled out. So the question is, do you have additional systems that you have not yet rolled out that are to come, and if so, what is the timeframe and what are those systems? 
Barry Emerson: Well, Bill, I think we're very excited about the QuantiSense system and just making sure that we're all moving up the learning curve with regard to QuantiSense and taking maximum utilization of that new system from a retail analytic standpoint. But since you -- but another system that we're evaluating is an upgraded budgeting and planning tool for our buying group that allows us to do more robust forecasting of your basic inventory and margins and sales and so on, but really doing it on a buyer-by-buyer basis and rolling it up to various subtotals, and really just helping our buying group have a kind of a rolling forecast, which then, of course, will dovetail into our ability to have another data point from a financial forecasting standpoint. So again, just trying to enhance the overall system of buying management, and of course, it does have -- have tentacles into our financials as well. 
William Dezellem: And you said you were evaluating the system, so my next question may not be answerable. But what is the timeframe that you would anticipate rolling that updated system out? 
Barry Emerson: Bill, we've got a number of initiatives, but we're looking to try and do that as early as we can in 2013. 
William Dezellem: All right. And if you were to have to choose between the benefits from that new system that you have not yet rolled out versus building on the analytical systems benefits, which you mentioned you're just very early, kind of at the foundation of, which of the 2 would be bigger needle movers from the perspective of those of us on the outside looking in? 
Steven Miller: Bill, I think there's no question that building on the business analytics tools that we implemented, began to implement a year-ago is the big and significant driver of our bottom line, top line and bottom line. No doubt about it. 
Operator: We'll take our next question from Matt Dhane with Tieton Capital Management. 
Matthew Dhane: I was curious, how significant are the store merchandise customization changes that you've implemented? Should we really view them as tweaks or in some stores or regions, have they been of significance that might be noticeable to someone? 
Steven Miller: Well, most importantly, they're noticeable to our customer, so we feel very positive about that. I would consider them. I mean it's an evolvement of our product that's not a wholesale change, it's not like we're in a different business today than we were in a year ago, but there -- we think there's clear excitement in our product offering that is being presented at our stores. And slightly more than a tweak, but not a major overhaul. 
Operator: We'll take our next question from Mark Smith with Feltl and Company. 
Mark Smith: Just a quick follow. Barry, can you comment on expected tax rate in 2013? 
Barry Emerson: I'm sorry, Mark, did you say in 2013? 
Mark Smith: Yes. Next year, what tax rate we should look for. 
Barry Emerson: Okay. I would use -- next year, I'd use 30 -- I'd go ahead and use the 37%. 
Operator: [Operator Instructions] And we'll take our next question from Seth Sigman from Credit Suisse. 
Seth Sigman: Just a question on the new merchandising strategy. As you look to go higher end, I mean, historically the way the stores differentiate, I guess, was through exclusive, closeout merchandise. And as you go higher end, does that put you up against the big-box players more or e-commerce channels and create a more competitive situation? 
Steven Miller: We don't think so. I mean, essentially, we're only going to drive the business by combining the value, playing to the convenience of our stores, creating a selection -- service model as appropriate for a broad array of customers. We're not walking away from any aspects of the business that have made us as successful as we have been for over 57 years. The value offering remains, we've remained opportunistic buyers. And we're really looking to create a selection that's right for a broad mix of customers. So essentially all we're trying to do right now in the initiatives are geared upon creating, really slightly elevating our offering to create an appeal that may include some other -- some aspect of the population that perhaps wouldn't have been our consumer in the past. We're certainly not looking to lessen the impact with any other part of our constituency. 
Seth Sigman: And then I guess related to that, you mentioned -- you did a pretty good job of outlining some of the margin changes. But does this new strategy potentially change the margin structure as you look out over the next few years? 
Steven Miller: I mean, the -- I'm sorry, I'm not sure ... 
Seth Sigman: Like, I guess, potentially as it moves away from close out to branded... 
Steven Miller: Okay, I got you. The margin. I thought you said market. The margin structure. I don't believe it will. We're really focused like we always have been in maximizing gross profit dollars. I mean it's conceivable that some new or different product category or line that we have may be below our average margin, but that's really not a big concern for us. We think ultimately, everything we're doing is geared to generate more sales, more gross profit dollars, better inventory turns. We think -- right now, our inventories are in great shape, we -- less clearance product in our stores and things of that nature should benefit our product margins over the long haul. And I think we're seeing those efforts pay off. The fact that our point-of-sale margins were positive in both Q, in Q2 and Q3, and continued to get off a good start in the fourth quarter suggests that perhaps our initiatives are margin-friendly to us. 
Operator: And we'll take our next question with Sean McGowan with Needham & Company. 
Sean McGowan: Sean McGowan here. Just 2 questions. I don't know if you guys look at it historically along these lines. But I'm just wondering if, looking back over periods, first of all, election years where maybe there's some pre-election distractions that keep consumers from shopping or periods where there have been some short term spikes in gasoline, is there anything that you could talk to historically that might give you an indication of what to expect kind of in the coming months when maybe some of these phenomena fade away? 
Steven Miller: I don't know that I'm in a position to make a prediction of what happens after the election. The last election occurred at the time of the major economic downturn, so I don't know that, that's a great indicator for what's going to happen here. 
Sean McGowan: Let's hope not. 
Steven Miller: Certainly, let's hope not. And the gas prices, I mean hopefully they'll calm down and come back, obviously that'll be a help to business. But the fact that we've performed -- gas prices just coming off a period of being really at record high levels across much of our marketplace and particularly in California, over the course of October, we performed I mentioned generally positive with gas prices at those levels. 
Operator: And there are no additional questions at this time. Mr. Miller, I'll turn it back to you for any closing remarks. 
Steven Miller: Thank you, operator. We appreciate you all being on the call. We appreciate your interest in Big 5 Sporting Goods, and we look forward to speaking to you on our next call. Take care. 
Operator: That does concludes today's conference. Thank you for your participation.